Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Lassonde Industries 2025 Third Quarter Earnings Conference Call. The corporation's press release reporting its financial results was published yesterday after market close. It can be found on its website at lassonde.com, along with the MD&A and financial statements. These documents are available on SEDAR+ as well. A presentation supporting this conference call was also posted on the website. [Operator Instructions] Before turning to management's prerecorded remarks, please be advised that this conference call will contain forward statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. Please refer to the forward-looking statements section of the MD&A for further information. Also note that all figures expressed on today's call are in Canadian dollars unless otherwise stated and that most amounts have been rounded to ease the presentation. Finally, be advised that the presentation will refer to non-IFRS measures or ratios mostly to ease comparability between periods. Reconciliations to IFRS measures are provided in the appendix to the presentation and in the corporation's MD&A. I would like to remind everyone that this conference call is being recorded on Friday, November 7, 2025. I will now turn the conference over to Vincent Timpano, Chief Executive Officer.
Vincent Timpano: Good morning, ladies and gentlemen. I'm here with Eric Gemme, Chief Financial Officer of Lassonde Industries. Thank you for joining us for this discussion of the financial and operating results for our third quarter ended September 27, 2025. Now please turn to Slide 4. Lassonde delivered another solid performance in the third quarter, which is a testament to its ability to meet customer and consumer needs through its broad and diverse product portfolio and through a continued commitment to service excellence. Sales increased 8.3% to $724 million. As anticipated, sales growth was less than in previous periods as we lap the Summer Garden acquisition and the commissioning of the North Carolina single-serve line partway through the quarter and as we face some industry-wide demand-related headwinds. Still, we grew our sales in each business unit and generated an increase of nearly 23% in operating profit. These achievements mainly reflect strong execution on pricing as well as a better sales mix within our private label offering. Now let's turn to Slide 5 for a closer look at operations, beginning with U.S. Beverage activities. Lassonde maintained its market position in the third quarter. While the overall category was down low single digits as consumer spending reflects weaker confidence given the current macroeconomic context, volume for U.S. brands remained relatively steady and our private label volume contracted slightly. Our performance was also consistent with what we've seen in the market with competitor brands outperforming private label due to a temporary price gap contraction earlier this year as we led with pricing in response to apple and other commodity inflation and tariffs. With this said, we are now seeing branded competitors implement pricing actions, which we believe should restore normal price gaps and support private label category performance. Our business is well positioned to benefit from a shift back to private label as consumers increasingly seek value in these uncertain economic times. In the quarter, we also successfully completed the installation of production assets being relocated from a U.S. co-packer to our North Carolina facility, and we're in the process of ramping up operations. These assets represent our first ever in-house juice box production in the United States, which should improve reliability and reduce cost in servicing U.S. customers. We also expect to unlock additional volume for both U.S. branded and private label products by improving capacity and throughput on the assets. As for the construction of a new facility in New Jersey, I am pleased to report that we have broken ground following the reception of permitting during the quarter. The project remains on schedule and on budget with a phased transfer of the existing production activities from the current facility beginning in late 2026 and to be completed in 2027. Turning to Slide 6. Our Canadian beverage activities continued to gain market share, outpacing the category with overall market contraction remaining consistent with prior quarters in the mid-single-digit range. Our performance was driven by solid promotional support for our national brands, new distribution gains, mainly in the chilled category and a continued buy Canadian sentiment, which we continue to support with our Canadian to the core campaign through in-store merchandising. We also benefited from a favorable shift in the composition of our private label sales mix. Our focus on innovation to reduce commodity exposure also continues to generate positive results, mainly with Nectars and drinks as well as through new distribution in the chilled category. Moving on to Food Service on Slide 7. Our Food service activities had a solid quarter with once again double-digit sales increase over last year. Growth was driven by volume gains with broadline distributors in the U.S. and by improved penetration of national accounts in Canada. As for our new bag-in-a-box aseptic packaging line, our focus is on developing customized formulas for new accounts. Following positive response, we are now making solid progress in our discussions with customers and are engaging in bids. We see strong potential in this market given the uniqueness and value add of our offering with convenient dispensing and bulk aseptic packaging. As we've noted in past remarks, food service is a significant growth opportunity as we estimate it represents roughly half of consumer spending on food and beverages, whereas our split between retail and food service has historically been around 90-10. Now let's turn to Specialty Food on Slide 8. In the third quarter, we sustained our integration efforts within our North American Specialty Food network with the objective of capturing additional efficiencies and synergies. As an example, after reviewing our manufacturing processes and installing new equipment at our Ohio plant to eliminate a bottleneck, we achieved increased throughput. Summer Garden contributed sales of $48.1 million for the full quarter versus $26.7 million over 7 weeks last year. Its EBITDA margin reached 16%, reflecting seasonal volume fluctuations and the timing of promotional activities. EBITDA margin for the first 9 months of 2025 remained robust, approaching 21%. Summer Garden's focus also remains on finalizing its consumer-focused brand strategy, addressing opportunities to expand brand distribution and launch new innovation. As for legacy operations, overall volume held relatively steady and profitability continued to grow with sustained momentum in the glass jar sauce category. Finally, we continue to refine our strategy to drive sustainable and profitable growth within the specialty food market while enhancing service for our U.S. customers. We remain excited about the long-term growth potential of this segment, supported by ongoing initiatives to fortify our capabilities across both operations. I now turn the call over to Eric for a review of quarter 2 results. Eric?
Eric Gemme: Thank you, Vince. Good morning, everyone. Let's turn to Slide 9 for our third quarter sales, which amounted to $724 million, up 8.3% versus last year. Excluding Summer Garden and a favorable foreign exchange impact, sales increased 5%, reflecting the favorable impact of pricing adjustments and a positive shift in the private label sales mix in Canada. Moving to Slide 10. Gross profit reached $198 million or 27.3% of sales, up 10% versus $180 million a year ago or 26.9% of sales. Excluding Summer Garden, gross profit dollars increased 4% year-over-year for a gross profit margin of 26.8%, reflecting the favorable impact of selling price adjustment and a positive shift in the sales mix. These factors were partially offset by higher costs for certain inputs such as orange, apple, pineapple concentrates, an increase in certain conversion costs in the U.S., mostly related to the deployment of new assets in North Carolina and to reduce absorption due to lower production volume and the accelerated depreciation expense of certain U.S. assets. SG&A expenses were $140 million, up from $133 million last year. Excluding expenses from Summer Garden, SG&A held steady as increases in certain administrative and selling and marketing expenses, finished goods warehousing costs, mainly in Canada and amortization expenses resulted from the commissioning of the new Canadian ERP were offset by lower transportation costs to deliver products to clients and a decrease in performance-related compensation. Excluding items that impact comparability, adjusted EBITDA increased 25% to $86 million or 11.9% of sales from $69 million or 10.4% of sales last year. Adjusted profit attributable to the corporation shareholder reached $40 million or $5.84 per share, a record level quarterly adjusted EPS, increasing 29% from $31 million or $4.53 per share last year. Turning to working capital on Slide 11. The days of operating working capital ratio stood at 55 days, down from 59 days in quarter 2. This decline was mainly due to an increase in days payable outstanding as we return to normal purchasing patterns. Meanwhile, days of inventory outstanding remained stable at 85 days, which is slightly elevated for third quarter. While the ratio stands above historical range levels of approximately 46 days at the end of the third quarter, our objective is to bring it near the upper limit of the historical range by the end of 2025, given current inventory holding strategies. As a reminder, we may temporarily elect to strategically leverage our balance sheet to secure certain inventory availability and/or lock in costs ahead of anticipated supplier price increases. Now on Slide 12. Operating activities generated $118 million in Q3 of 2025, up from $87 million last year. This improvement is mainly due to higher EBITDA and higher cash generated from working capital, notably through a lower accounts receivable, which normalized following a temporary effect on timing of invoicing due to the earlier rollout of the new Canadian ERP and to lower inventory as significant volume acquired earlier this year are gradually being depleted. These factors were partly offset by a $14.2 million combined increase in interest and income taxes paid. CapEx totaled $35 million in Q3 2025 and $142 million since the beginning of the year. We still expect CapEx to reach up to 7% of sales in 2025, including approximately now USD 57 million for the construction of the New Jersey facility and up to USD 20 million for the redeployment of our juice box lines in North Carolina. Turning to our balance sheet on Slide 13. Lassonde's net debt totaled $550 million at the end of the third quarter, down from $618 million 3 months earlier. The decrease mainly reflects cash flow generated by working capital. As a result, the net debt to adjusted EBITDA ratio improved to 1.7:1 at the end of Q3 2025, compared to 2:1 at the end of the previous quarter. All things being equal, the leverage ratio should range between 2 and 2.5:1 until the end of 2026, but we anticipate being near the lower end of the range. This remains well within our comfort zone of less than 3.25:1. I now turn the call back to Vince for the outlook. Vince?
Vincent Timpano: Thank you, Eric. Now please turn to Slide 14 for our sales outlook. As we close out 2025 and despite persistent economic uncertainty, we reiterate our expectations of a sales increase slightly above 10%, excluding currency fluctuations, reflecting a full year contribution from Summer Garden, increased volume, in part supported by our latest marketing campaign, Oasis Supply, intended to build awareness and brand preference for our new chilled distribution, targeted promotional spend and the buy Canadian sentiment. The run rate effect of existing and planned selling price adjustments and volume improvement related to the pace of our U.S. Build Back plan and additional volume available from our single-serve line in North Carolina. Moving to Slide 15. We remain focused on executing our strategic priorities while remaining disciplined and agile in a volatile environment. For U.S. beverage activities, our priorities include continuing our private label volume build back plan, notably by increasing our penetration of existing customers with new products, executing on pricing to offset cost volatility induced by commodities and tariffs while balancing pricing impact on demand elasticity and competitive position versus brands and forging ahead on our new facility construction project to improve capacity and lower cost. For Canadian beverage activities, fortifying our leadership remains our priority through innovation to reduce commodity exposure and ensure active participation in on-trend and growing beverage segments, targeted promotion spending and marketing investments and constant efforts to improve productivity. Our North America Food Service team will continue its push for further expansion in this key market, including through our bag-in-a-box initiative. In Specialty Food, our priorities are continuing to integrate our North American Specialty Food network, expanding core brand distribution through improved positioning, fortifying our commercial capabilities and continuing to refine our strategy to support growth and improve service for our U.S. customers. Turning to Slide 16. The cost of orange juice and concentrates as well as apple and pineapple concentrates are expected to remain volatile through the fourth quarter as are other inputs affected by tariffs. The cost of orange concentrate has remained highly volatile with a sudden and significant decline in the spot price to less than USD 2 per pound solid in recent days on use of lower consumption, combined with a stronger upcoming crop in Brazil. To mitigate volatility, Lassonde follows a hedging policy for a portion of its commodity needs. While this approach provides stability, it can temporarily reduce the benefit of sharp declines in spot prices, particularly when the drop is sudden as seen in the current market. As for apple juice concentrate, inflationary pressures have moderated following a spike in early 2025. Additional pricing adjustments were deployed late in the second quarter, but the delay between cost increases and price adjustments temporarily affected our margins. Availability of pineapple concentrate, an important commodity for Lassonde remains constrained, creating challenges and resulting in lost opportunities this past quarter. This shortage may continue for several months with elevated prices, and we are closely monitoring this impact on input costs and juice blend formulations. In this volatile commodity pricing environment, we remain vigilant in monitoring changes in consumer food habits and demand elasticity for our products. To alleviate these effects, we will continue to bring innovation to market. As for the trade environment, the situation remains uncertain, which is affecting consumer sentiment and spending in both Canada and the United States as seen by ongoing category declines. We continue to actively monitor ongoing developments while ensuring our mitigation measures allow us to maintain a strong competitive position and an optimal cost structure, although the timing, duration and evolution of tariffs may affect these measures. In closing, as shown on Slide 17, we expect our momentum to continue, enabling us to achieve our 2025 financial objectives. We remain focused on executing our strategy, delivering our important investment projects and staying agile in this dynamic environment. Above all, Lassonde's diversified product portfolio, supported by an exceptional team of committed employees represents a key factor in maintaining a strong competitive position in the North America food and beverage market. This concludes our prepared remarks. We are now pleased to answer your questions.
Operator: [Operator Instructions] The first question comes from Luke Hannan from Canaccord Genuity.
Luke Hannan: My questions are going to be mostly focused on the commodity complex here. You touched on, Vince, that pineapple, there's shortages in the quarter that sounds like it led to lost sales. I don't know if it's possible for you guys to quantify that or dimensionalize that for us, but that would be helpful. And then secondly, I know in the past, and I believe in your MD&A, it still, you talked about apples, apple concentrates, oranges representing 25% of COGS. How material is pineapple relative to your overall cost of sales?
Eric Gemme: So look, it's going to be, Eric, taking the answer on this one. So you are correct I pointed out that the key commodities for us are apple and orange representing 25% of sales. We're also a significant player in [indiscernible], but pineapple is not very far. And pineapple is used either as a straight or also part of our blend. And pineapple is also a premium element from a blend perspective. So it affects volume, not dramatically like an orange or an apple could do, but the mix, the quality of the mix of our product is affected, and it was really a question of price of the commodity and availability. So basically, we were not able to ship as many of those juices or juice blends that we would have hoped during the quarter.
Luke Hannan: Got it. And then secondly, I mean, it was mentioned, and I know that you guys have talked about this in the past that you typically hedge. So that means the volatility in spot doesn't always flow through your P&L right away. But there has been a relatively sharp decline in orange concentrate specifically more recently. And if I reconcile that with what you guys have talked about with working capital as well, that's declining. But have you given any thought to maybe being a little bit more strategic in hedging more at these lower levels from a spot perspective just to ensure that perhaps you can lock in a relatively healthy margin on at least part of your assortment going into 2026?
Eric Gemme: So Luke, again, we are using hedging not as a gamble. So we will remain within our hedging policies and procedure. However, still lot of policy and procedure allow us to be strategic a little bit. So we will hedge. And again, we have our view in terms of where the market is and where it could go. And of course, we're going to -- within the boundary because, again, it's not gambling within the boundary of what we -- our policies, we will take -- try to take advantage of what we believe is favorable cost. But you are correct, and you read as well. We have at the moment because of the sharp and sudden decline in this commodity from a spot price perspective, our hedge positions are, of course, higher. However, from a strategic perspective, we believe that we are very much aligned with our competitor who also hedge because we are not a significant player in the hedge market. We have many other strategic player in there. So I think all of us are pretty much in the same spot.
Luke Hannan: Got it. And then I wanted to shift over to -- there was mention about there being a sales mix shift in private label. I believe it was in Canada. Just wanted to know what exactly is driving that?
Eric Gemme: Yes. So yes, it's in Canada, it's in private label. So when we talk about mix, it's about the type of cases that we're selling. So we had an elevated level of chilled sales in Canada. So whatever is in the chilled area, so orange or orange brand mainly.
Luke Hannan: Okay. Last one for me, and then I'll pass the line as well. You touched on the gaps -- the price gaps between private label and branded now widening. There have been some other competitors, their national brands taking more price of late as well. Can you give us a sense, are those price gaps sort of what you expect? Are they at levels that you would expect to see normally? Is there still more to come on that front? Just give us a sense of where those price gaps stand today.
Vincent Timpano: Yes. Luke, let me jump in. It's Vince. What we're seeing is price gaps restore more to normalized levels. So not all the way entirely there, but there was a lag in terms of pricing to the shelf, but we are seeing gaps between brand and private label be restored. The only other thing that I want to reinforce is that we led pricing in the market. That created a temporary gap as brands either followed, but there was a lag in terms of what we saw at the shelf price or there was increased promotional spend. But to answer your question, we are starting to see gaps restore back to normalized levels in the United States.
Luke Hannan: Yes. And it sounds like...
Eric Gemme: Well, Luke, to be clear, right, this concept is really in the U.S. market, not in Canada.
Operator: [Operator Instructions] Our next question is from Martin Landry of Stifel.
Martin Landry: My first question is just a follow-up to the last discussion in the U.S. market. So just to understand better, orange concentrate is down significantly on a year-over-year basis, but you're talking about pricing -- putting price increases and you've led with price increases. So are those price increases reflecting the tariff dynamic that is ongoing in the U.S.? Just a bit of clarity there would be helpful.
Vincent Timpano: Yes. So there are commodity increases that are built into the price increases. But in addition, and you're accurate in saying that there's also a tariff component there as well. And recall, Martin, that when you're looking at commodities and you're purchasing on a global level, we anticipate that our competitors are in a very similar position, and that's why they're also responding with pricing.
Martin Landry: Okay. And can you just remind us what was the magnitude of the prices that you've implemented in the U.S.? And what was the timing of that increase?
Eric Gemme: Magnitude, I don't think we are providing that externally. From a timing perspective, it's really second quarter and third quarter. I think now we pretty much were done with these increases.
Martin Landry: Okay. All right. And then looking at Q4, in Q3, organically, your sales were up 5% when we exclude the contribution from Summer Garden. So looking at Q4, you will be lapping the Summer Garden acquisition. So is it fair to say that, 5% growth rate organically for Q4, is it a good assumption to use? Could that be replicated?
Eric Gemme: So Martin, I will refer you back to our outlook for the full year, where we say it's slightly above 10%. So I'll let you do the math, but you would see that last year, what we reported $738 million on a consolidated basis. If you run the math, I think if you believe that we can make whatever, 10% flat, you would see that's probably a decline versus last year. But if you stretch a little bit your 10%, I think as you get to 12%, you see that it's a slight growth versus last year, but not at the 5% June.
Martin Landry: Okay. So then can you help me a little bit understand why you expect your organic growth to decelerate in Q3 versus Q4?
Eric Gemme: So Q3, we had the full half of a quarter worth of Summer Garden. We had our Line 5, which is our single-serve line in the U.S. only starting. And right there from a volume and an additional organic growth, you had that those effect in Q3 helping versus Q4, where both elements were there for the [ third ] quarter.
Operator: Our next question is from Etienne Larochelle from Desjardins.
Etienne Larochelle: First off, I was just wondering if the Buy Canada movement, is it still a tailwind for your Canadian business? Because I feel like it's less -- it gets less topical in the media than a few months ago. So I'm just curious to know if it's still a positive impact on your business or if it's still -- is it slowly fading away?
Vincent Timpano: Our views are that the Canadian sentiment remains robust. And there's a component of the performance that we continue to see in the Canadian business that reflects that. I think the important factor, though, is not that it comes at any price, consumers have their limit. And they recognize that at some point, they've got to manage their pocket book. So we're mindful of ensuring that we understand that we've got to continue to do more and not just rely on the Canadian sentiment. But the reality is we've got this as a core competitive advantage within Canada. We are a Quebec-based Canadian company that produces Canadian brands for Canadian consumers. And we're spending a fair bit of time reinforcing and continuing to educate consumers about that very fast. So we had a campaign that we executed early on in the year to reinforce that. We continue to execute it through effective in-store merchandising just to ensure that we're doing what we need to do to remind consumers of the Canadian heritage that it's less on.
Etienne Larochelle: Yes, makes sense. And also you completed the relocation of production lines to your North Carolina plant during the quarter. I was just wondering if you could comment on how the ramp-up is going generally, when you expect to reach full production? And maybe any relevant updates on that front would be helpful.
Eric Gemme: That project is on scope on budget. So yes, those lines are now starting to produce at the level we were anticipating. So -- but of course, it came in late in the third quarter. So there's absolutely no volume at the moment in there. But remember, it's not new volume, those lines. It's we were moving lines that were existing, and we had to rely. So basically, they had volume in there. So we had to rely in the meantime on co-packers. So don't expect a volume effect from the deployment of those lines. What you should expect is a reinsourcing of those volume and of course, now start benefiting from our cost versus having to use co-packers and not necessarily in the right place in the network.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Vincent Timpano for any closing remarks.
Vincent Timpano: Thank you for joining us this morning. We look forward to speaking with you again at our year-end call. Have a great day and a great weekend, everyone.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.